Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 0:05 [Starts Abruptly] [Technical Difficulty] Ladies and gentleman, we do apologize for that delay, and I will turn the call over now to Alison Vasquez, Vice President of Investor Relations. Please go ahead.
Alison Vasquez: 0:14 Thank you, Orlando. Good morning, and thank you for attending KBR's Fourth Quarter and Fiscal Year 2021 Earnings Call. Joining me today are Stuart Bradie, President and Chief Executive Officer; and Mark Sopp, Executive Vice President and Chief Financial Officer. Stuart and Mark will provide highlights from the quarter and the year, and then open the call for your questions. Today's earnings presentation is available on the Investors section of our website at kbr.com. This discussion includes forward-looking statements reflecting KBR's views about future events and their potential impact on performance, as outlined on Slide 2. These matters involve risks and uncertainties that could cause actual results to differ significantly from these forward-looking statements, as discussed in our most recent Form 10-K, also available on our website. 1:07 I will now turn the call over to Stuart.
Stuart Bradie: 1:10 Thank you, Alison, and thank you all for joining us and for your interest in KBR. I will start on Slide 4, where you've seen these before. Here are the ESG pillars of our Zero Harm program. And I think year-ends are a good time to look back, and I'm pleased to report that we've made good progress across each of the pillars as we move towards our net-zero goal. 1:33 I highlighted some key data points on Slide 5, which we'll touch on now. And these really build on the inclusion on the first three metrics we spoke -- highlighted last quarter. We're very proud to have achieved carbon neutrality for a second consecutive year on a path towards net-zero carbon by 2030. From a health and safety perspective, we again had a stellar year, and we continue to set the gold standard for Zero Harm days and incident rates. And our people are doing some amazing stuff, really great things across the communities in which we live and work, a really core part of who KBR is. But as I've many, many times, at KBR, our commitment to sustainability goes beyond and includes leveraging our IP and expertise to help others achieve their sustainability goals, thus creating value for all our stakeholders. And this is evidenced in over 30% of our revenue base that is directly linked to sustainability. 2:32 Our people-centered Zero Harm culture is at the heart of KBR. And it's been really, really rewarding for our people to see many external recognitions of our progress in these important areas, some of which we've included here. I think a key takeaway here of these unsolicited recognitions are they're really, really helpful in both retention and recruitment. These are only a few of the highlights for us from our sustainability report, which, as you know, was issued in late '21. With ESG increasing in importance across the investment community and, in fact, the world at large, I would encourage you to read our sustainability report, which, of course, is on our website, as it not only describes in detail the importance of the ESG at KBR and our culture, but it also showcases that ESG at KBR aligns with shareholder value. 3:28 So on to Slide 6 and some highlights and key takeaways. I'm going to start by talking about KBR and some distinct differentiators that has served us very, very well for many years, again in Q4 and, of course, throughout 2021 and beyond. Firstly, we have a significant baseload of long-term contracts across our portfolio, both domestically and, importantly, internationally. And that allows us to have confidence in long-term targets and avoid downside volatility. Our people are embedded in mission-critical activities, doing things that really, really matter. 4:09 Secondly, our international footprint again gives greater diversity and mitigates downside volatility. Thirdly, our sustainable tech business is a true growth engine and usually margin accretive, as you know. And I think we've proven this in 2021. And fourthly, strategically, our businesses are positioned to take advantage of increased spending and market tailwinds. And finally, our people and culture, as far as I'm concerned, are simply amazing, And our people deliver quarter after quarter. 4:45 So why do I highlight these differentiators? Because regardless of COVID, CR, labor market, geopolitical shifts, our significantly derisked business model and our people have proven resilient consistently. In Q4, we performed. In 2021, we performed across the core business, delivering growth, margin improvement and, importantly, stellar cash. There's been quite a bit of discussion on OAW, and for a good reason, but I'd like to reiterate that our core business really performed. On OAW itself, which was a Herculean effort and a significant humanitarian mission that we're all super, super proud of at KBR, this was in line with expectation. Our ability to ramp up, to mobilize and then demobilize complex and sizable supply chains very rapidly and deliver in high-pressure environments is a real value add to our customers, the missions we serve and, of course, our shareholders. 5:54 So in short, 2021 was a strong year. But as we know, that is now history, and you are more interested in tomorrow. I think a good indicator of how the business will perform tomorrow is, of course, book-to-bill. Our bookings were strong across government, sustainable technology solutions as a whole and especially in heritage tech, which is quite telling, as you're aware. The quality of the work we are winning is aligned with our shift to higher-end, differentiated and margin-accretive work. So we're very, very pleased. More detail on this in a sec, but this all lines up to underscoring continued momentum into '22 and beyond. 6:36 With strong cash generation and a healthy balance sheet, capital deployment is, of course, a priority. And I think 2021 was a model for balance across organic growth, M&A and return of capital to shareholders, with expanded dividends and continued share repurchases. On the M&A front, I actually just spent a week traveling across the U.K., meaning our new colleagues at Frazer-Nash, which we acquired, if you remember, last October. This business has an amazing brand and even more amazing culture of technical expertise, with a collaborative model that really delivers innovation in ways, I think, that can make all of KBR better. More on this in a moment. And we head into 2022 with significant amount of work under contract well over 70%, with growth, earnings and cash all in line with our 2025 targets. Obviously, more on guidance later from Mark, but '22 is shaping up to be a great year also. 7:40 So on to Slide 7 and the outlook for Government Solutions. On the left, there's really nothing new. The spending priorities and investment areas remain as per the first bullet, and all for the reasons we have discussed recently. We do not see these changing anytime soon, especially with heightening tensions internationally. And while it feels a little bit early to talk about '23 defense budgets, in the midst of a '22 CR, early indications based on reports last week indicate a national defense budget that could top $800 billion, which includes a nice 4% bump for DoD, which is great. If the spending priorities are a leading indicator, then the bookings in those areas are, of course, the lagging indicators, really proving out these priorities. As you can see, in 2021, award value plus options for Government Solutions was $6.7 billion, with a Q4 book-to-bill a strong $1.3 billion. 8:44 Some highlights through '21, just to give you a feel for the types of work we are winning. In our defense systems engineering business, we talk a lot about contract vehicles that really facilitate getting on to contract early for critical high-end work. IAC-MAC, which we've talked about a lot, is a great example. Multiple awards, mainly due to size, et cetera, we don't really talk about individually. But collectively, on this contract vehicle alone, we were awarded over $800 million in 2021, and that was similar in 2020 and certainly more to come in 2022. So I think a great demonstration there. Strategically, we moved upmarket in the U.K. with Frazer-Nash, and this is at a time of change for the U.K. MoD as it comes to terms with Brexit, cyber and, importantly, the changing threat environment. The pipeline in Frazer-Nash is looking really, really good for '22. 9:45 Our science and space business had a stellar year, delivering across the portfolio in civil and commercial space, health and human performance and mission IT, with strong on-contract growth and margin performance. And of course, we won some interesting new work along the way, including a significant multiyear contract to provide high-end engineering services for space flight and ground systems won by a KBR JV. There's actually a number of bids in flight at the moment as we head into '22 due for award. 10:20 We could, of course, not fail to mention OAW in the context of 2021. But in 2022, the ramp down has been as quick as the ramp up, if not quicker, as families and individuals have been placed into society by state. Our guidance for 2022 will include an OAW tail, but it's not material. And of course, the directed energy program advanced well through the year and continues into '22, and I'm sure there's more to come as we progress through the year. 10:52 So on to Slide 8, and we'll touch on the STS market outlook. Again, nothing, I suspect, you have not seen here. The market drivers are robust. And recent activity levels in ammonia, in particular, were very high, where KBR actually won all the announced greenfield awards we bid in '21, with bookings across the green, blue and great ammonia landscape just terrific. And a strong and growing pipeline of pursuits gives us great confidence into the future. Political will and policy around climate change, not to mention societal pressure, is real and not going away. 11:33 As we mentioned last quarter, the increase in oil and gas prices recognizes the supply/demand imbalance and means increased spending capacity for traditional energy companies, and I'm sure lots have been talking about that. This allows clients, of course, to restart capital projects, and we're seeing that. And increased investments to decarbonize, improve energy efficiency, improve end-product flexibility and invest in energy transition projects, all of which are bang on KBR's wheelhouse of technology and expertise. 12:09 With over $1 billion in bookings over the year and a Q4 book-to-bill of 1.1 across the STS portfolio, this sets us up nicely for double-digit growth in '22, all in line with our targets. Now remember, we had $150 million of low-margin reimbursable EPCs still being worked off in 2021 that make this book-to-bill even more impressive. As a strong indicator of continued high-end growth with increasing margins, the book-to-bill for heritage tech was a terrific 1.4 in Q4. 12:45 As we've said often, the activity levels across the portfolio have and continue to be high, whether that be in plastics recycling, which has actually delivered more opportunities than we expected; to olefins and green refining, where we have won significant multiyear work; to high-end engineering in areas like hydrogen and decarbonization. The transition of this business, its focus on sustainability and the resulting performance in 2021 have frankly been amazing, but it's only the beginning. 13:22 And this takes us nicely on to Slide 9. Our 2021 awards and group book-to-bill at 1.2 in Q4 are a good near-term indicator. But for the longer term, we, of course, need to look at the pipeline of opportunities, so thus, the pipeline match the outlook. And you can see on the slide here that hopefully the scale, the lack of concentration risk, multiple opportunities that are $100 million plus and a sizable cadre of needle movers over $1 billion proves this out. And to be clear, our pipeline and our booking numbers exclude the HomeSafe Alliance, which, you're aware, is under protest. 14:04 So lots to look forward to. With our performance in 2021, which is terrific, the growth and resiliency of our core business, our hugely differentiated large baseload of work, the robust market outlook for our specific areas of business, a strong book-to-bill and pipeline, we once more reaffirm our '25 targets. So with that, I will now hand over to Mark, who will take you through the numbers in a bit more detail, cover capital deployment and, of course, the detailed guide for 2022. Mark?
Mark Sopp: 14:40 Great. Thank you, Stuart. Thanks, everyone, for joining us this morning. I'll pick up on Slide 11, which provides a snapshot of our financial performance for fiscal 2021. So as Stuart has already stated, '21 was really a terrific year overall, with revenues, profits and cash flow all exceeding our original plan and also on or above pace relative to our long-term targets. When you step back and look at these charts, it is important to recognize the setting. So just last year, right in the middle of the pandemic, we embarked on a bold set of changes in our business. We undertook the largest-ever acquisition to advance into the intelligence community and military space at scale, and we derisked and repositioned our commercial business opposite growing demand for sustainable technologies and solutions. Both changes were designed to reorient KBR towards higher-end, more differentiated offerings aligned with attractive growing end markets and also with higher margins and attractive free cash flow. 15:55 The numbers and trends here speak for themselves relative to how our operations and our people have made this transition hugely successful, amazing. Revenue and earnings were amplified by rising to the occasion to meet the urgent humanitarian requirements associated with operation allies, welcome, OAW, which delivered revenue and margins generally in line with our previous guide. I'll highlight here that even with the dilutive impact of OAW to margins, it was about 50 basis points dilutive to operating margin, we achieved our EBITDA margin goal of 9% for the year due to excellent performance across both GS and STS. 16:41 The volume increases and strong margins across KBR resulted in adjusted EBITDA growth of over 30%. And when coupled with normative below-the-line items, adjusted EPS grew 40% for the year, far more than our initial guide and long-term targets. Ex OAW, adjusted EPS growth was still in the low 20% range. Cash flow grew nicely and consistent with the steady and up expectations that we set attending to our strategy. Backlog and options were up, reflecting a strong Q4 book-to-bill and amounting to really good work under contract coverage for 2022, which, of course, underpins the growth we have in our guidance that I'll cover here in a moment. 17:35 Slide 12 shows the results by segment, and this has been a consistent story all year. No surprises here relative to our expectations, other than, of course, the amplification of GS results from OAW, which started kicking in, in late Q2 and really -- I'm sorry, Q3 and very much so in Q4. We have continued to see good growth across GS and, importantly, margins at 10% before the impact of OAW just as we set out to do. Margins in GS continue to reflect, first and foremost, excellent project execution. So hats off to our operations heroes who deliver solutions to advance our clients' missions every day, with vital recompete wins this year; strong CPAR performance scores, that's the government's methodology for objectively measuring contractor performance; and award-free scores in challenging technical areas that reflect very high customer satisfaction, really high scores by our team across the board here. 18:42 This type of commitment to deliver will yield strong margins across our base. This includes Centauri, whose margins were on track, and also, as has been the case for years now, continued double-digit margins from our international operations, which are significant in the overall mix, as you know. Over to STS. What an enormous achievement by this team. They navigated delivering the ramp down of legacy projects, all as planned and explaining the year-over-year revenue reduction, while producing real growth in much higher-margin areas in accordance with the Sustainable Tech Strategy. EBITDA grew a stunning 72% to almost $200 million, with margins at 16% for the year, coupled with excellent cash flow. As we set out to do, this business has low capital intensity, attractive growth prospects, protected IP, which is in strong demand, and serves multiple market verticals to pivot across faster-growth areas as those evolve. I'll also point out the continued positive developments on Mura and our exclusive partnership with their Hydro-PRT, plastics recycling technology. 20:08 In 2021, we secured multiple license contracts for new facilities using this technology, well above our expectations, and have won numerous feasibility and initial engineering efforts for clients around the world, very important clients, blue chips. Mura has continued to receive equity investments from some of its blue-chip partners, including a recent round well above the valuation of our investment one year ago. We booked a gain of $3.5 million in Q4 related to this valuation appreciation, which we excluded from adjusted EPS. With STS comprising nearly 30% of consolidated contribution margin and with a higher expected growth rate, it is clearly much more than a kicker, as we once described in our portfolio. Indeed, STS is core to KBR. It is positioned to drive an outsized contribution to economic value creation. And quite frankly, we couldn't be more delighted. 21:15 On to Slide 13. We have continued to improve our scale, our financial strengths and have demonstrated a balanced capital deployment strategy. In 2021, we improved our credit rating again, now up two notches in three years. We leveraged this development to renegotiate our credit facility to achieve lower pricing, increase capacity, ease investment restrictions and other attributes. In the fall, we used stranded cash to pay for a substantial portion of the Frazer-Nash acquisition. As Stuart mentioned that earlier, really excited about that team, and that put cash to work in a much more accretive way for us. 21:55 Taking this all in, in 2021, we supported high organic growth. We made over $400 million in acquisitions. We completed over $80 million in stock buybacks and increased our dividends by 10% from the previous year. And yet, all the while, we kept our leverage ratio about the same, 2.5x, which, I think, speaks volumes for the power of the cash flow in our business. 22:23 In 2021, we outpaced our long-term targets. And I will discuss in a moment, we expect continued growth and financial strength in 2022 and beyond. Consistent with our capital deployment strategy, which includes paying an attractive dividend, we are pleased to announce another dividend increase for the third year in a row. Starting in 2022, our regular quarterly dividend will increase 9% to $0.12 per quarter, $0.48 for the year, which represents a 50% increase in our regular dividends since 2019. 22:59 Now on to Slide 14 and our initial '22 guidance. Upfront, our guidance keeps us on track with the long-term targets we set last March and excludes, as Stuart said, the effects of HomeSafe Alliance given its protest status. We expect revenues in the $6.3 billion to $6.8 billion range, up 14% at the midpoint when excluding the bump we had in 2021 from OAW, obviously, a nonrecurring event. Adjusted EBITDA margin is guided at 10% of revenues, reflecting improvement from 9% in '21. The 10% overall guidance for '22 is consistent with our long-term targets, where GS is relatively steady, and STS is expected to improve core margins 1% to 2% per year from both scale and mix. 23:56 We expect steady tax rates in our guiding adjusted EPS of $2.45 to $2.60, up 4% from '21 at the midpoint. But that's up 20%, excluding the impacts from OAW, the blip we had in '21 from that important engagement, 20%. Together with the 40% growth in EPS in 2021, we're tracking at the top end of our long-term targeted 2025 EPS CAGR of 15% to 20%. 24:35 Adjusted operating cash flow continues to rise nicely, and we are guiding a range of $350 million to $400 million for '22, on pace with long-term targets and demonstrating continued flow of incremental capital deployment firepower. This reflects conversion rates of above 1x for net income to adjusted operating cash flow and adjusted free cash flow. The only adjustment that we're making here is the repayment of the CARES Act deferred payroll tax item of $30 million. You'll recall, we kept the original benefit of that outside of our adjusted EPS and also the repayment the same. 25:18 In summary, we really had a remarkable financial performance for the year. And with the improved financial strength, the value-creation opportunities for KBR continue to expand once again. We are pleased to give shareholders another bump up in dividends. And with the net debt at 2.5x, coupled with strong cash flows such as this, capital for M&A and/or buybacks is quite meaningful going forward. We expect to continue to deploy capital in a balanced fashion over the long term. And we'll be very disciplined -- continue to be very disciplined to pursue actions which are in line with our growth strategy, our risk tolerance and also for the compelling investment thesis of KBR, which, I think, we've demonstrated. So that's my wrap for 2021. We look forward to an exciting 2022. I certainly hope you are along with us for the ride. And I'll turn it back over to Stuart.
Stuart Bradie: 26:16 Thank you, Mark. And great job once again. On to Slide 15 to wrap things up. I would like you to read the words on this slide. But for me, I think today's prepared remarks highlight a business that has and continues to perform, really perform, a business strategically positioned in attractive markets of the future, but with some additional facets. Firstly, clear differentiators and international footprint, significant long-term base of business, a unique and high-performing technology growth engine, as Mark covered, and a business model that is low risk, resilient and cash generative. 26:55 Secondly, we have a track record of consistently delivering quarter after quarter, year upon year of meeting or exceeding expectations. We do what we say we're going to do. Thirdly, a business with a people-focused culture. Now we're far from perfect, but we strive to continually do better. But what is not under dispute is that our people are committed to the mission and do things that matter every single day. It's hugely uplifting. We have a strong balance sheet with an unwavering focus on shareholder value, and that gives us options, as you're aware. And fourthly, and increasing in prominence, a highly differentiated ESG position, again, firmly aligned with shareholder value. We made commitments on long-term targets in May '21. And our 2021 performance and 2022 guidance of our core business, so excluding OAW, are in line with those targets, and thus, as I said before, we have firm confidence to reaffirm our '25 targets again today. 28:08 Thank you again for taking the time this morning. And I will now hand it back to the operator, who will open the call up for questions. Thank you. Orlando?
Tobey Sommer: 28:46 Thank you. In your '22 revenue guidance, could you give us some color on the components? So organic growth range or maybe provide the midpoint contribution from acquisitions and the OAW contribution, which, I think, Stuart, you said was immaterial, but just in terms of calculating the organic growth, it would be helpful. Thank you.
Stuart Bradie: 29:10 Yes. So I think ex OAW, if you back it out last year and this year, organic growth is sitting about 7% at the midpoint.
Tobey Sommer: 29:24 Okay. That's helpful. And could you tell us what, if any, financial impacts you're thinking about on the company in terms of higher -- up tempo in Europe and any kind of troop movements? Does that -- is that a consequential development for you?
Stuart Bradie: 29:44 I mean, I think, Tobey, it's a question we ask ourselves. It's early in that endeavor. There's obviously a lot of classified things going on in that arena. I mean, our EUCOM rate, as you know, we run a European Command for LOGCAP V. So we're very well positioned there. Our typical run rates are circa a couple of hundred million dollars in that domain in '21. And yes, you would expect a little bit of an up tempo in that arena. But I think it's too early to give you any real guide around that. I think it's an unfortunate opportunity, I think, is the way I'd describe it. I mean no one wants that sort of activity in and around the world. And -- but in saying that, we are positioned to support what's going on there. So more on that later, I think, Tobey, at this juncture.
Tobey Sommer: 30:37 Thanks. I know we have started late, that'll be it for me, I will get back in the queue.
Stuart Bradie: 30:41 Thank you.
Operator: 30:45 All right. Next we'll hear from Jamie cook with Credit Suisse please go ahead.
Jamie Cook: 30:50 Hi, congrats on a nice quarter. Stuart, could you just give an update just on HomeSafe, just the -- what's going on there with the protest and when you'll have resolution on that? And if you guys could sort of quantify what that means to the earnings power over time. And I guess, to -- my second question would be your confidence sort of in your long-term targets to potentially having a pathway to exceed those targets with some of these awards you got that we just spoke about, with the extra award and then just better balance sheet and acquisitions, just how you're feeling on the longer-term target and when we could get an update there? Thanks.
Stuart Bradie: 31:29 Yes. So HomeSafe Alliance, the protest is due for, I think, conclusion third of March. So we'll know more on that date. And obviously, if we -- if the protest comes in our favor, we will have to probably do a separate call with you, and we'll give you a lot more detail about the ramp-up and the timing of HomeSafe Alliance. I mean, it's a considerable procurement for Transcom, it's circa $20 billion, as you're aware, over 9.5 years. So there is no doubt in my mind that we will have to update our long-term targets if that comes to fruition. And obviously, we'll be revising them upwards, not downwards, which is all good. In terms of that ramp-up cadence, I think the nice thing, given the scale as it ramps up progressively over time, so we think it will happen over the course of the first 18 months to 24 months when we embed the organization. And I don't think it's going to be too material in '22. In truth, we'll get a bit of a kick, but it won't be that material. And that will really start to ramp up and, really, will underpin very strong organic growth as we move into '23 and beyond so, hence, a revision of our targets at that time will be appropriate. But we'll certainly do a separate call. We'll explain a bit more detail of the financials and the expected returns from that, and we'll have had a dialogue with the customer on timing of ramp-up and things like that. 32:56 In terms of the -- I guess, the business as it stands today, Mark already alluded that we're already tracking to the high end of our '25 targets. And so I think that's a very good a fact set just going into where we are today. And I think our book of business really gives us great confidence to achieve at that level. So I think -- and we haven't really talked too much in this call. I'm sure we'll get the question on capital deployment and M&A, et cetera. There's a lot of activity in the market today, but we've been very, I would say, very disciplined at not paying too much and making sure that we do things that are strategically advantageous to KBR. So I'm very confident on the outlook. I'm very upbeat in where we're positioned in the markets we're in. I think we've had an absolutely outstanding '21, I think better than decent. And I would say that we are really sort of heading into '22 with super confidence and to an underlying core business that's growing nicely and delivering amazing cash returns and EPS performance. And the STS business is really knocking out of the park. So I think it all shapes up, Jamie, to -- I often say it's a great time to be at KBR. And I would just underscore that right now.
Jamie Cook: 34:15 Okay, thank you.
Operator: 34:20 Our next question comes from Jerry Revich with Goldman Sachs, please go ahead.
Jerry Revich: 34:25 Yes. Hi, good morning, everyone.
Stuart Bradie: 34:27 Good morning, Jerry.
Jerry Revich: 34:31 I'm wondering if you could talk about the heritage tech revenue burn outlook for 2022. Correct me if I'm wrong, but based on the book-to-bill numbers you've spoken about this year, it looks like you booked about $600 million of heritage tech orders over the course of '21. And I'm wondering, based on project timing, how quickly do you ramp up revenue burn on those awards? Thanks.
Mark Sopp: 34:58 So Jerry, I think you've done some good analysis, and your numbers are about right in terms of the bookings, obviously, at 1.4. And Q4 book-to-bill is a terrific indicator of the strength of that market. We -- in terms of the burn-off of that, we don't really disclose it at that level. I think that the key piece that I would like you to take away is really the overall STS business is increasing in its margin mix because of the strength of heritage tech and other areas we've moved into as we -- also we -- we were -- obviously, we will return to true organic growth as we move through '22 in that business as well as those reimbursable EPCs disappear. So I think that sort of double-digit growth at the revenue base, the increased margin propels growth and margin enhancement in that business happening concurrently, and it's not often that people can say that. So I think it's a terrific -- that part. And so I'd rather you think about it as a holistic performance across STS. But we like to get heritage tech because, I guess, of the distortion that we've had in '21 with these larger heritage EPCs running off because the revenue growth in the areas we want to grow has been fantastic. And so that's why we give that number. And we'll continue to give you a good indicator of how that business is traveling, obviously, but it's been a -- I think that's probably where I'll stop there, Jerry.
Jerry Revich: 36:25 Okay. Appreciate it. Thank you.
Operator: 36:31 All right. And our next question will come from [Indiscernible], please go ahead. Gotham, we can't hear you. Gotham, your line is open, please go ahead.
Alison Vasquez: 37:05 Orlando, can we go to the next question. And maybe Gotham can join back.
Operator: 37:13 And we are at the next question. Okay, we'll move on to Michael Dudas with vertical research. Please go ahead.
Michael Dudas: 37:23 Good morning, gentlemen. Alison.
Alison Vasquez: 37:26 Hi, Michael.
Mark Sopp: 37:27 Hi, Mike
Stuart Bradie: 37:28 Morning, Michael.
Michael Dudas: 37:30 So since you queued it up earlier, Stuart, can you discuss a little bit 2022 on your capital allocation, M&A pipeline given what you have in front of you and the very solid cash flow guidance you put forth? And maybe a sense of what type of investment? Or if you can talk about Home Alliance as you guys ramp that up into 20 -- later this year, hopefully and into the future?
Stuart Bradie: 37:55 Yes. So we'll -- I think we've been very clear that we do have options in front of us. I think the strength of our balance sheet is clear. And the way that we deploy capital is very balanced with the increase in dividend. And as we look to continue with share repurchases, we progress through the year. But it's also quite a hot market from an M&A perspective. There's a lot in the market. Today, I think multiples may be heading a little bit south. But there's such a lot of interest in some of these assets, that might not be the case. I think for us, I think one of the key takeaways is that our need to do acquisitions to achieve the high end of our targets in '25, we don't need to do them. And I think that's a really cool position to be in for the company. So we can be very considerate about what we do and when we do it. 38:49 I would say that, ultimately, we've been very clear in our growth vectors and what we think are attractive markets of the future, and we're not going to move away from that. So it's not just about opportunity, and it's not just about bulking up. It's really about strategic positioning and accelerating up those growth vectors. And so I think you will see us in the M&A market if the opportunities are correct and accretive, and we said that often, and I think we've proven that out over time. So I know that's a bit of a vague answer, Mike, but it's difficult to talk about specific targets, as you know, because of confidentiality. 39:24 But I would say that, for us, we have to make sure that whatever we buy really fits our acquisition thesis, which is one of making sure we look after the people and that we're a good -- we're a very good owner and home for any business we acquire, and we don't want to see any dip in performance. And ultimately, we want to focus on synergies, thus, plus one is greater than two. And I think we've proven that out to be a successful model and one we don't want to move away from. So -- but it's tough, as you know, finding targets. And then secondly, not only finding the targets, but actually getting them for a price that makes sense. So yes, I think more to come. I think there's an appetite to do M&A. That would be a takeaway as well. And then certainly, we've got enough capital to deploy to do something meaningful over the course of the year. And I'm sure there will be additional sort of bolt-on opportunities that takes us into new areas of geographies or skill sets. So -- sorry, I can't be more specific, Mike, but I think it's -- I think the key takeaway is we don't need to do them to achieve the higher end of our growth targets.
Michael Dudas: 40:24 Yes, Stuart, that's very helpful. And my follow-up question would be, as you look into sustainable tech and you highlight the strong book-to-bill going into this year, which areas do you anticipate as you look at the pipeline and the opportunities, which ones will we see a lot more momentum for KBR in their technology over the next couple of quarters heading into 2023? I know it's maybe a difficult question, you got a lot of stuff going on, but just want to see which couple of areas should investors be focused on that we will see out of KBR moving forward?
Stuart Bradie: 40:59 Yes. We highlighted a couple in the prepared remarks, Mike. I think the stuff that we -- the amount of opportunity and things that are coming through in the ammonia arena are terrific, and that continues. So I think you'll see that continuing to have momentum for all the reasons we've discussed around just the growth in the fertilizer market, naturally, but also, of course, the hydrogen future and co-firing and all the dynamics around that market we've talked about many times. So that continues, which is terrific. I think we are seeing, as I said as well, that we -- the plastic recycling piece has done so much more than we thought, and I'm expecting that to continue as that goes into this year. And I think across the portfolio, as the traditional energy companies get more capital, we will start to see them deploying more in energy efficiency and decarbonization and a lot to do with change in product mix. And so I think we'll see opportunities across our K-COT portfolio and our olefins portfolio to that effect. And I think that all lines up to quite a lot of activity, as you said. But I think that's probably the key areas that we see going into 2022, at least now, and obviously, we'll update you as we move through the quarters.
Michael Dudas: 42:17 Thank you, Stuart.
Mark Sopp: 42:19 And Michael, I'll just add on HomeSafe. It's best we cover that, as Stuart mentioned earlier. And if we have a good outcome there, we can talk about that specifically relative to our targets, but also the capital profile of that, which you don't expect any major changes relative to our capital intensity from that. In fact, the terms, we expect will be quite favorable over the long haul. That might be a little bit upfront, but nothing to really get worried about.
Michael Dudas: 42:47 That makes sense. Thanks, Mark.
Mark Sopp: 42:50 Thanks.
Operator: 42:55 All right, up next, we'll take a question from Gautam Khanna with Cowen. Please go ahead.
Gautam Khanna: 43:00 Hey, can you hear me guys?
Stuart Bradie: 43:03 We can. Awesome. How are you doing?
Gautam Khanna: 43:05 Terrific. Sorry about that earlier. I don't know what happened. Guys, I had two questions. First, I was wondering, just given the continuing resolution, what do you -- how do you think about bookings at the Government Solutions segment over the course of the next couple of quarters? I presume Q1 is going to be light, just given that dynamic, but do you expect like a huge catch-up in calendar Q2, calendar Q3 into the fiscal year in the government? Or how should we think about like the cadence just based on where things are in terms of -- yes.
Stuart Bradie: 43:42 Yes, it's a good question, Gautam. As I said in last quarter, as we headed to the end of the year, that we were quite unique in the fact that we did have things coming through in Q4 that were different to others, and I think that proved itself out with a strong book-to-bill coming into the end of the year. We've got a lot of activity and awards awaiting coming into Q1, and those coming out is expected through the first quarter and into the second quarter. And if that does happen, that we're in pretty good shape. And if the HomeSafe Alliance award comes through in the 3rd of March, I think this will be a moot question. And so I think we do have -- and we've got, obviously, a very differentiated position across our commercial business and our international government footprint as well. So I think, again, I was -- that's why I was trying to highlight really at the beginning of my prepared remarks that regardless of COVID and CR and labor markets, et cetera, we've managed to perform at or above expectation quarter after quarter, and the book-to-bill is obviously a big indicator of the future. And we're very focused on winning the right work, of course. 44:53 So there might be some delays, I think there always are under a CR period. But as I understand it, I think that CR will likely resolve itself as the appropriations are moving, I think, into -- I think it looks like it will be concluded in March, so which will obviously help with bookings going into at least into the second quarter?
Gautam Khanna: 45:18 And my follow-up would just be on HomeSafe Alliance, have you guys disclosed anything about kind of the ownership structure besides that it's a JV that you have a majority interest in? Like have you disclosed the percentage ownership or any of the terms of that alliance?
Mark Sopp: 45:38 No, we've not. Gautam, we've not. And I think it's so large that we -- as we said earlier, we're going to do a separate call on that, assuming that the protest lands in our favor. Well, it's not so far away now, in a couple of weeks' time. So yes, I think look out for that. But no, we've not disclosed very much about it, other than the overall value, and it's a joint venture and it's over 9, 10 years. So it all lines up for that very differentiated business. It's about, I guess, reframing an industry, it's about digital deployment, it's about managing supply chain. So it's right in our wheelhouse in terms of skills and capability and digitalization, but it's -- in terms of the commercial outcomes, I'm sorry, we haven't disclosed any more than what I've just told you. But we will do, obviously, and once we get through the protest.
Gautam Khanna: 46:29 Thanks very much, guys. Good luck.
Mark Sopp: 46:31 Thank you.
Operator: 46:35 All right, and up next, we'll hear from Brent Thielman with D.A. Davidson, please go ahead.
Brent Thielman: 46:43 Great. Thank you, Stuart, on STS just with higher commodity prices, I'm wondering if that's actually accelerated the pipeline for you maybe versus six months ago, some of those legacy hydrocarbon customers generating more cash, looking to transition faster. I guess, I'm just wondering if that's translated into more opportunities already? Or is it still early stages and just conversations right now?
Stuart Bradie: 47:09 No. No, it's translated into a very strong pipeline, Brent. I think -- no, I mean, I think we highlighted that sort of, I guess, market dynamic, as others did as well, back in late '21 coming into Q3, Q4, and that's certainly borne out in terms of the way that our customer base is thinking of the future. So our pipeline for opportunities is terrific across the STS portfolio. And I think we've got good confidence of continued double-digit growth in that business as a consequence. So I think, yes, absolutely.
Brent Thielman: 47:46 Okay. And then, Mark, this one might be for you. But should we see an uptick or maybe an unusual uptick in cash flow in the first quarter or first half just related to the wind down of OAW?
Mark Sopp: 47:56 Brent, I think that Q1 will have a little bit of boomerang from OAW. But I expect the bulk of that in Q2, actually, because our activities are winding down, but they're still in place into Q1. Plus, Q1, the government doesn't -- for whatever reasons, they seem to be a little slower in Q1, not really related to CR, but just seasonality, if you will. And so we've historically had a pretty light Q1. I would expect that to be largely the case this year on the government side. STS is different, and that smooths things out a little bit. But I do expect Q2 to rebound really strongly as well as Q3 and '4 and to have consistent results with maybe Q1 being the lower of the four after that.
Brent Thielman: 48:52 Okay, thank you.
Mark Sopp: 48:54 You bet. Thank you.
Operator: 48:58 All right, Up next, we will hear from Sean Eastman with KeyBanc Capital Markets, please go ahead.
Sean Eastman: 49:05 Hi, guys, thanks for taking my questions. Stuart, in the Q&A, you mentioned that you don't need to do acquisitions to be trending to the high end of the 2025 target ranges. Obviously, a noteworthy statement there. I just wanted to clarify, does that comment include, or contemplate HomeSafe or would you be able to say that even if we sort of set HomeSafe aside?
Stuart Bradie: 49:33 Now excludes HomeSafe? I think when HomeSafe we get through the protest period? We're going to have to adjust those targets upwards Sean?
Sean Eastman: 49:43 Yep. Okay, helpful. And then, obviously HomeSafe takes GS into sort of a breakout scenario. But I'm wondering how close we are to a potential breakout in STS it just seems like the bookings were super solid over the last 12 months it seems like fundamentals firms. How would you characterize that Stuart?
Stuart Bradie: 50:10 I mean, in most companies a double digit growth with an increase in margin would be called a breakout so on.
Sean Eastman: 50:20 You already set that expectation.
Stuart Bradie: Yes. I have set that expectation. So I mean, I don't want to get over our skis. As you know, we like to give targets that are achievable, and we work hard to do better. And I think we'll stick with our double-digit revenue growth and our margins going up. And -- but you're right, the market fundamentals are terrific. And I can't see the market changing over the midterm anyway. Just the -- I think societal pressure and just what's going on across the world, we'll ensure that those markets are strong for the foreseeable future and goes -- things do happen. But right now, that's a statement I'm prepared to make. And if that changes, obviously, we'll have to realign. But yes it's a terrific business. As Mark said, it's been -- we've kind of downplayed the performance a little bit through the year because this was the first year we really knew STS. But let's face it, they absolutely knocked out of the park. And not only that, they've done it by actually working off these EPCs at the same time and delivered amazing customer satisfaction. So I think we're very well positioned. We've got a terrific set of IP across the portfolio. And obviously, I would be delighted if they did better than the numbers we set out, but I'm -- good try, but I'm not going to be drawn into saying anything above what we've guided, but it's really exciting. And the culture and the upbeat momentum just around the business and the people out in the marketplace is fantastic.
Sean Eastman: 51:58 Okay. Got a lot of adjectives I can pick up on there. Thanks to it.
Stuart Bradie: 52:04 There's no – there's no shortage of adjectives, I get that.
Operator: 52:10 All right. Up next we'll take a question from Andy Kaplowitz with Citigroup. Please go ahead.
Andy Kaplowitz: 52:16 Good morning, everyone. Stuart, can you maybe give us a little more color regarding your self-help focus and sustainable tech? I mean, we know about your long-term guide. You just talked about sort of the markets. But the goal is to get to high teens, I guess, in the business and the legacy projects continue to wind down. How difficult is it to sort of get your cost down over time as you ramp the business given inflation and supply chain concerns? What -- just give us an update?
Stuart Bradie: 52:49 Yes. I mean, self -- I think the self-help, the fulsomeness of self-help really came through in 2021 and well, really late '20, and truth is, as we adjusted our cost base for the future and realigned our market position. So I think we've got -- we do have a business that's 100 years old, with a level of complexity that matches that tenure. And as we unwind that complexity, whether it's entity reduction and just alignment of becoming a slicker business, we actually see some efficiencies coming through that are helping us offset any inflationary pressure and things like that. So we're not concerned with our guide on margins. We feel that we're very strongly positioned in that sense. And as the mix changes in that business, the margin pressure upwards is clear. And whether that's from selling IP or really just the higher-end advisory engineering work that we're doing today is in high demand. And as a consequence of that, it supports, I guess, higher pricing, which again mitigates any inflation risk, et cetera. 53:54 And we're mostly in the -- when we're providing services, it's a mostly cost reimbursable environment. So we're -- again, I think we've got some very strong mitigants against inflation. In terms of supply chain, we're not really seeing any pressure there from what we supply in terms of proprietary products. We -- it's a limited set. We've got pretty solid providers that we've had for many years, and these are reasonably standard kit for us now. So again, no real concern there. They're mostly component parts. There's no chips in them or anything like that, where there's a lot of supply chain pressure today, as you know. So I think we're seeing that piecework reasonably well. And so again, we had a big -- obviously, as I'm sure every business in the world is doing today, we had a strong look at the inflationary risk and things like that, and we think it's minimal across KBR. And we had a very strong look at the supply chain risk given what's happening in the world, and again, I think we've mitigated that to a greater extent, given the risk profile of that business. So all up again. The fact that we're sitting here today confidently predicting double-digit growth and margin enhancement. And we're standing by that commitment, given the dynamics in the world, I think, proves that out.
Andy Kaplowitz: 55:17 Thanks for that and Stuart, maybe following up on an earlier question. Are clients dusting off some of the sort of energy and chemical projects from a couple of years ago as these higher commodity prices have occurred? And sort of what's the trade-off, or as you talk to customers between sort of accelerating energy transition now versus, call it, these old economy projects?
Stuart Bradie: 55:41 Yes. I think most of the traditional energy companies have been very honest and clear that they need to continue to invest in traditional projects to generate the cash flow required to actually decarbonize and become more aligned with a sustainable future. And I think we're seeing just that. So -- but as these new projects are being dusted off, there is a greater emphasis on energy efficiency. There's greater focus on changing product mix for future demand, et cetera. So we are seeing elements coming through of that, and -- but -- and an accelerating in that arena. So I think we got the question earlier really about the increase in demand for our services as a consequence of that market dynamic, and we're absolutely seeing that.
Andy Kaplowitz: 56:27 Appreciate it.
Operator: 56:33 All right. And now, we will hear from [Indiscernible] with UBS, please go ahead.
Unidentified Analyst: 56:40 Hi guys, good morning.
Stuart Bradie: 56:42 Good morning. [Indiscernible] think about.
Unidentified Analyst: 56:45 Just As we think about -- just as we think about 2022, and this may have been addressed somewhat so far, but could you give us some color as to which technology is going to be the biggest driver of earnings growth in 2022? And also same thing with new awards for 2022?
Stuart Bradie: 57:02 Yes. On the STS side, I mean, it's quite interesting, Avi. As we've performed through 2021, the first half of the year was really -- everyone was talking about hydrogen and ammonia, and really, the bulk of our performance is actually driven across olefins and green refining. And as we came to the latter part, I think the hydrogen/ammonia market kind of caught up and awards started to come through in that arena. And that momentum is continuing into 2022. But that has not stopped the momentum in the olefins market nor in the green refining market. So as I said before, we've got over 70 technologies in our portfolio, and they ebb and flow a little bit. But the key ones, I think, going into next year are olefins, obviously, ammonia. And we think the plastics recycling momentum will continue. And obviously, as people are trying to reduce their carbon footprint, things like growers and things like that in the green refining area will continue to be in high demand. So it's not a single answer. And I think that's a good thing because there's no concentration risk in that sense. And I think that, ultimately, the portfolio is global as well. So it's really across geographies, and we're seeing an uptick in activity in North America right now, which was -- wasn't the case a few years ago. So that's terrific. And so I think really it's an amazingly robust business and one that will deliver the growth that we set out because of those factors.
Unidentified Analyst: 58:37 Got it? Thank you.
Operator: 58:42 There are no further questions in queue. I'll turn the call back to Stuart Bradie for additional or closing remarks.
Stuart Bradie: 58:51 So again, thank you very much for your interest and your questions this morning. I mean, we couldn't be more delighted in our 2021 performance. It was an absolutely terrific year for all the things we've talked about on the call. We couldn't be more excited about the future either. I think that, really, there's a lot to be upbeat about not just where we're positioned, not just our guidance, but I guess the whole market dynamic and the fact that we've got HomeSafe Alliance potentially coming through at the end of Q1. So all -- it's not often I'm all upbeat, but I'm pretty well all upbeat today and really looking forward to a really terrific year. And obviously, as the COVID restrictions ease, I'd look forward to seeing, hopefully, many of you face-to-face as we up our engagement with the investment community. We view you as strategic stakeholders in KBR, and we look forward to seeing you more in 2022. Thank you very much
Operator: 59:54 Ladies and gentlemen, this concludes today's call. We thank you for your participation. You may now disconnect.